Operator: Good morning. My name is Lisa, and I will be your conference operator today. I would like to welcome everyone to the HNI Corporation Third Quarter Fiscal 2020 Results Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded. Thank you. Mr. McCall, you may begin your conference.
Matt McCall: Thank you, Lisa. Good morning. My name is Matt McCall. I'm Vice President, Investor Relations and Corporate Development, for HNI Corporation. Thank you for joining us to discuss our third quarter fiscal 2020 results. With me today are Jeff Lorenger, Chairman, President and CEO; and Marshall Bridges, Senior Vice President and CFO. Copies of our financial news release, earnings presentation and non-GAAP reconciliations are posted on our website. Statements made during this call that are not strictly historical facts are forward-looking statements, which are subject to known and unknown risk. Actual results could differ materially. The earnings presentation posted on our website includes additional factors that could affect actual results. The corporation assumes no obligation to update any forward-looking statements made during the call. Now, I'm pleased to turn the call over to Jeff Lorenger. Jeff?
Jeff Lorenger: Good morning, and thank you for joining us. Our members delivered another solid quarter in an environment that remains challenging. And again, our results demonstrate much of what is unique about HNI. As we look ahead, we are prepared to confront the near-term macro challenges and we also see opportunity and signs that our strategies are gaining momentum. You will notice some changes to our normal quarterly earnings report in call format. Specifically, we have included more detail around our third quarter results and fourth quarter expectations in the release. This allows us to focus our call commentary on the key highlights of the quarter, the key issues and opportunities going forward and our strategic efforts aimed at pursuing long-term revenue growth, margin expansion and free cash flow generation. Now I will start with four key highlights from the third quarter. First, our Residential Building Products segment delivered strong year-over-year growth. We generated 9% year-over-year revenue growth in the third quarter, or 8%, excluding the impact of acquisitions. This is a substantial improvement in the second quarter 6% year-over-year revenue decline. Our third quarter order patterns indicate these positive volume trends should continue. Orders increased 13% year-over-year and consistent with most new home construction and remodelling indicators, order growth remains strong throughout the quarter. Our unique model in this business continues to provide a competitive advantage. Our focus on operational excellence, our vertically integrated structure and our investment in regional distribution centers have allowed us to take advantage of accelerating demand. We're competing better than ever in this space and we continue to drive strong financial returns, with third quarter operating margins expanding 270 basis points year-over-year to a third quarter record of 19.6%. Second highlight of the third quarter was our Workplace Furnishings segment delivered solid profitability despite continued recessionary pressure. In general, customers remained in a holding pattern and third quarter revenue was down 27% year-over-year. However, the segment still was able to generate a profit of nearly $17 million in the quarter. We're seeing some signs that demand activity is becoming less bad in this segment. Orders and Workplace Furnishings excluding eCommerce declined 25% year-over-year in the third quarter. This was an improvement from the 35% order decline in the second quarter. Furthermore, order declines moderated as the quarter progressed. This trend is encouraging, but we are not expecting a dramatic improvement over the next couple of quarters. Orders in our Workplace Furnishings eCommerce business increased 35% year-over-year in the third quarter. That is strong growth, but it is lower than the triple-digit order increase we generated last quarter. Much of the moderation in order rates was expected as was the result - and was the result of tougher constant supply constraints. We did see September orders reaccelerate, and this improvement is a result of a continued strong demand environment, combined with our improving inventory positions. Our third highlight for the quarter was we continue to smartly manage our costs and expenses. We reported a decremental margin of 19% in the third quarter. This is better than our previously communicated target of 25%. Also recall, we were up against a strong prior year comp in the third quarter as our productivity efforts and cost management drove a 50% incremental margin in the third quarter of 2019. We continue to manage through the near-term recessionary environment in the Workplace Furnishings segment, while remaining focused on our long-term strategies. Finally, our fourth quarter --our fourth highlight of the quarter was continued strong free cash flow generation. Our balance sheet strength and cash flow outlook provide ample flexibility to navigate through the period of softness in work - Workplace Furnishings, while maintaining our key growth investments in both segments. I will now turn the call over to Marshall to provide some additional details around our fourth quarter outlook. Marshall?
Marshall Bridges: Good morning, everyone. Let's cover the outlook for our Workplace Furnishings first. In the Workplace Furnishing segment, we expect fourth quarter year-over-year revenue declines to be in the mid-teens. That's better than what we've seen over the last two quarters and is based on three factors. First, as Jeff mentioned, we have seen year-over-year order declines trend less bad. As we stated in the press release, Workplace Furnishing orders were down 25% for the third quarter, and the declines moderated as the quarter progressed. Second, we are expecting more growth from our eCommerce business given the continued demand strength along with our improving supply position. And third, our fiscal calendar has an extra week this year, which we expect will add 4 to 7 percentage points of growth to the quarter. I should note it also adds cost, so this growth delivers lower incremental margins compared to true organic growth. Shifting to our fourth quarter outlook for Residential Building Products, recent order trends, housing construction activity and the extra week support fourth quarter year-over-year growth rates in the mid-to-high teens. Moving on to profitability. We would also like to emphasize what we're expecting for decremental margins. For the full-year, we expect decrementals to be less than 20%. This implies meaningfully higher decremental margins in the fourth quarter, primarily driven by unfavorable business mix, accelerating investment levels and the impact of the extra week. We continue to target decremental margins of 25% over time. Finally, I’d like to make some comments on our cash flow and balance sheet. Since the early days of the pandemic, our teams are focused on driving free cash flow. As a result, our free cash flow through the first three quarters is tracking 70% ahead of prior year levels, despite lower profitability. We ended the quarter with $109 million of cash on the balance sheet. That balance is more than quadruple the balance from the end of last quarter. We've reduced our net debt by 65%, or nearly $123 million, and our gross leverage ratio is 0.9 well below our debt covenant of 3.5. So we have substantial financial flexibility and a high-quality balance sheet, and we're not expecting any meaningful capital structure stress. I'll now turn the call back over to Jeff.
Jeff Lorenger: Thanks, Marshall. The past six months have demonstrated how much of what is exceptional about HNI, and I believe this experience has helped HNI become a stronger company in many respects, which will serve us well as we move forward. As I look to 2021 and beyond, I would like to call out a few items. First, we remain excited about the prospects for our Residential Building Products segment. Our unique, vertically integrated model with more than 20% of revenue coming from our owned installing distributors, along with our recent success in managing through the spike in demand surrounding the pandemic puts us in a strong position as we move into 2021. We have ramped our investments in this business to better market directly to homebuyers and consumers, in both the new construction and remodel retrofit markets. Our belief is that increase marketing in what has long been an under marketed industry will provide revenue upside that may not be fully appreciated. This will add to what is already a strong cyclical backdrop as indicated by low housing inventory and increased household formation. And we will also benefit from encouraging secular trends such as urban flight, larger home sizes and increases in homeownership. In summary, we believe the revenue growth opportunity in this segment is strong, and we will continue to invest aggressively to grow this addressable market and the categories in which we compete. Second, while we remain cautious near term, we expect Workplace Furnishings revenue to continue to recover, as we move to a more supportive environment. Looking ahead to 2021, we expect the challenging first quarter as we lap pre-COVID conditions. However, moving through the year, we expect more companies to return to offices, while those return dynamics will likely take many forms, each will support improved demand. Longer term, we see positive trends emerging that line up nicely with our competitive strengths. Specifically, we are particularly well positioned to benefit from increasing work from home demand. Our unmatched price point breadth, our product depth, and our distribution capabilities put us in a strong position to benefit from elevated work from home activity. A recent example of our efforts in the home office space is a win with a large enterprise client, their employees, which number in the tens of thousands will be able to choose home office furniture from a preset selection of our products. There are many more opportunities like this in the pipeline. We're also uniquely positioned to benefit from trends tied to de-urbanization, or urban flight. This trends lead to more satellite offices away from city centers and in smaller markets. These markets that -- these are markets that play to the strength of our go-to-market models, and where we have strong competitive positions. Next, we believe densification of office space, which was a headwind for the segment for years, will stabilize, if not reverse in a post COVID world. Finally, we believe office space layouts will change, while the exact layout of the office of tomorrow remains up for debate. It will not look like the office of yesterday. Change is good for our Workplace Furnishings businesses. Third, our cash flow outlook is encouraging and our balance sheet will remain strong. Marshall discussed our cash flow and balance sheet outlook. As we look toward 2021 our targeted uses of cast continue to be on-going dividend support. We have not cut our dividend in over 65 years of paying it, investment in growth opportunities in M&A in both Workplace Furnishings and Residential Building products. And finally, opportunistic share buyback. In conclusion, I'm extremely proud of all of our HNI members into the company's collective focus and ability to adapt over the last six months. 2020 has presented and continues to present challenges that were unforeseen just a few short months ago. However, as we emerged in this period, we will do so a stronger company well positioned to grow revenue, expand margins, and generate cash flow. We’ll now open up the call to your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Reuben Garner from The Benchmark Company. Your line is open.
Reuben Garner: Thank you. Good morning, everybody.
Jeff Lorenger: Good morning.
Reuben Garner: Maybe can we start with the fourth quarter decremental margin outlook? You mentioned business mix and increased investments. I guess, can you elaborate on those two a little bit where are you seeing the mix impact? Obviously, you're going to get a benefit from the building products business getting - growing and the office business declining? What mix are you referencing? And then on the investment side, can you just go into detail into which businesses that would be – where those investments would be and then the anticipated benefits of those as we move into next year?
Marshall Bridges: Yes. Sure Reuben. So maybe the mix issue first. So I think we talked about this in the last call that, we're seeing increased government mix in the Workplace Furnishings business and that typically comes with a little bit lower profit profile. So that's the business mix we're referring to there. The investments are interesting. We're expecting to invest $5 million to $7 million incrementally in the fourth quarter. And about a third of that is in the hearth business around our marketing efforts and category expansion initiatives. And the other big item there is investments in digital and data analytics, which include things like eCommerce infrastructure, apps through our trade partners, visualization tools and things like that. And the rest is really around operational productivity.
Reuben Garner: Okay, thanks, Marshall. And the investments that you're making to grow the category in hearth and just grow the business in general. Are you already seeing benefits from this, I mean, the third quarter 8% organic growth, the low double-digit kind of implied organic growth for the fourth quarter? I mean, that’s definitely seems higher than any other inside the home building product categories atleast that we’ve seen that need a contractor in the house. Can you just talk about kind of the end markets there versus maybe some of the internal initiatives that might be driving faster growth?
Jeff Lorenger: Yes, Reuben. I'd say first and foremost, as I said in my remarks, it's really the initial growth is based on our model. I mean, we have just a strong vertically integrated model that has been very responsive to the market and broad in product depth and price points. So that that'd be point one. Point two is the market that the investments in category expansion and basically consumer awareness are really just getting going. So they are starting to, I think, show some signs. But for the most part, those are going to be outward looking investments that probably pay back more middle of the late next year. So, net-net, the model itself is strong in the short-term and the investments are well underway to continue that growth going forward.
Reuben Garner: And Jeff, you mentioned, I think that there was a -- that the growth opportunity for the category was maybe under appreciated. Do you have a target for how much faster you can grow than the market over the next couple of years? When I say the market, I mean, if I told you housing was going to grow x percent and R&R was going to grow y percent, what kind of growth above the categories can you see in your building products business?
Jeff Lorenger: Well Reuben, we don't - we haven’t really looked at it that way. It's a good question. I think what we're talking about is, 68% of homebuyers say a fireplace is a must have when 40% actually buy one. So that's, that's really what we're focused on. We're focused on growing the addressable market through that effort. And that's - and how that's going to translate, I mean, there's a bunch of trajectories there. But the bottom line is, we're going to move that 40% up to 68% in a perfect world through those efforts. And then the other thing, we got existing homes in the remodel space, we got 30 million older gas and wood burning units installed in need of an upgrade. And so we know where those units are at, where many of those units are at, and we're increasing our efforts there to ramp replacement activity. So those are the two big awareness plays.
Reuben Garner: Great. And then switching gears a little bit, I’m going to sneak one more in about the home office opportunity for you guys. I guess, can you one, touch on and elaborate on the eCommerce supply constraints? I think you mentioned accelerating growth in the fourth quarter. So can you tell us, maybe how you're getting around those? And then you mentioned in enterprise when -- can tell us how that's set up? Is the customer buying furniture for their employees to use at home? And is it the same product that you would normally sell into the office? Or is this a thing that you're selling through the eCommerce channel like through the Amazons and Wayfairs of the world? And thanks and congrats on the quarter. Good luck navigating through the rest of the year.
Jeff Lorenger: Yes, let me hit the eCom supply first. I mean, basically, we were in a really strong position, but the business was so robust. We stocked out at some of our top running SKUs and we're reloading those as we speak. I think if you look, there's a lot of supply constraint, there is port constraints, there’s container constraints. There's still a lot of that out there. But we've been able to - we got on it early. We've been able to get into a pretty solid stock position going into the fourth quarter. So we think for the most part, those constraints will subside. And then the question on the…
Marshall Bridges: Enterprise client.
Jeff Lorenger: Enterprise client, yes. That -- first of all, let me just say, we're seeing all kinds of discussions and those types of opportunities take all different kinds of forms. Some clients provide a stipend. That's what happens to be the case here. And they will be products that aren't so much. These are more core workplace products, commercial products from some of our companies, not what I've called core eCom Amazon type products that are going to -- going into that program in particular. So it -- but like I said, those are all over the map, but there's a lot of discussion there and we are seeing those starts to land.
Reuben Garner: Great. Thanks again, guys.
Jeff Lorenger: Yes. Thanks, Reuben.
Operator: Our next question comes from the line of Steven Ramsey from Thompson Research. Your line is open.
Steven Ramsey: Hey good morning. I guess to start with a quick follow-up on that eCom inventory issue. Did that inventory cause lost sales? Or did that push what would have been sales into orders and that benefits Q4?
Jeff Lorenger: No, Steven, it's -- in that world, it's a lost sale. They move on to another SKU or they may be lived - they back out and lived to relook later. But it's not - it doesn't operate like the core business where it just lead times out and then pushes.
Marshall Bridges: And then Steven, I would point out that this was pretty common in that segment…
Jeff Lorenger: Yes.
Marshall Bridges: …that the demand was so strong that a lot of players in the space had similar issues what we've experienced.
Steven Ramsey: Great. Okay. And then I think for eCom, if you think about the next six to 12 months, in moving this business forward and people start going back to the office to a larger degree. Does that shift your investment priorities and maybe discussions internally as you start to think about this business being a greater profit contributor than what it already is over the next one to two years if the pandemic impact stays?
Jeff Lorenger: Steven, I think, what I would say is, it's going to continue to - we're going to continue to invest in this business. It's going to continue to be a big part of our kind of go-forward model. I think, at this point, it's been incremental up to pre pandemic. And now, I think it's ultimately been going to settle out in the long run as incremental business. I do believe that the vast majority of employees will ultimately sell out working, some at the home, some at the office and both are going to require furniture in both locations. And so the way we look at that business, is it's -- we're going to continue to invest in it. It will become core, more core over time and support kind of where we believe the future work is headed.
Steven Ramsey: Excellent. Okay. And then thinking about switching to the ready, ready market regarding Q3 results, and the Q4 outlook. Can you discuss if there is any mixed impact or temporary cost reductions, driving margins there? And then, discussing the ability to drive high teens margins and read the long term offset by some growth investments that were already discussed. Maybe discuss why Q3 was so much better than expectations, even as you make those investments and how that plays out over the next two to three quarters?
Marshall Bridges: Sure, yes. Steven as it relates to the margins in Residential Building products, there wasn't really anything abnormal in the third quarter, we just had really strong volume. And of course, we had just in our cost structure for a much lower volume level, and it came in much stronger. So that's the big the big issue there. As we move forward, margin expansion is really not our goal. We really want to grow this business. Jeff talks about our efforts, to create awareness and grow the category. So we are going to continue to invest pretty strongly there. But we'd expect to be able to hold margins, at levels like we’ve seen here recently. They're very strong, are really getting good. ROIC and the recent results really reflect the strong operational model we have there combined with some healthy market.
Steven Ramsey: Great. And then last quick one on the ready market. How is the performance of the recently acquired distributors compared to expectations or, or acquisitions over the past couple of years? And then what is the pipeline like for more deals going forward?
Jeff Lorenger: Yes. I think the performance is that that team does a great job with those. The performance is in line as we -- as we modeled and as we expected, and they were in some nice markets for us. And we are continually looking, looking across the network to see where it makes sense to continue to add those to our owned network.
Steven Ramsey: Nice one. Thank you.
Jeff Lorenger: Thanks.
Operator: Our next question comes from the line of Greg Burns from Sidoti. Your line is open.
Greg Burns: Good morning. In terms of the order patterns on the, the office side of the business, can you just talk about maybe where, if any were specifically? You saw that improvements? Was it on the HON [ph] kind of field supplies business or more of the contract wholesale side of the business? Or maybe it was across broad based, but could you talk about that, please?
Jeff Lorenger: Yes, so let's talk about Workplace Furnishings, excluding eCommerce. So when I tell you, there's that we didn't see a lot of difference between the contract business and the small-to-midsize business or the HON businesses, as you mentioned. But we were down, orders were down like 35% in the second quarter. And we, we progressively get better as we move through the quarter. So we exited September, down in the high teens. I tell you that, the last five weeks we're in the low 20s. So it's consistent with our outlook that A, it's going to moderate to the clients a moderate in the fourth quarter, but B, we're not expected to come back really quickly in either side of the business to your original question, Greg.
Greg Burns: Okay, great. Thanks. And I think you mentioned what that extra week added into will add in terms of your growth outlook for the fourth quarter of the workplace, but I don't think you quantify that for Residential Building products. How much is the actual week adding to the outlets for that part of the business?
Jeff Lorenger: Maybe the extra week is for both businesses. It adds 4% to 7% for both businesses.
Greg Burns: Okay. Okay, great. Thanks. Okay. Thank you.
Jeff Lorenger: Thanks.
Operator: We have no further questions in queue. I'd like to turn the call over to Jeff Lorenger for closing remarks.
Jeff Lorenger: Thank you again for joining our third quarter call. We continue to be excited about what is ahead. We look forward to speaking with you next quarter. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.